Operator: Good morning everyone and welcome. My name is Leonor and I will be your conference operator. Welcome to Tiendas 3B Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. There will be a question and answer session after the speaker's remarks and instructions will be given at that time. [Operator Instructions]. Also, please note that this call is for investors and analysts only. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made during this conference call are based on information that is currently available to us. Today we're joined by Tiendas 3B’s Chief Executive Officer, Anthony Hatoum and Chief Financial Officer Eduardo Pizzuto. I will now turn the call over to Anthony. Please go ahead.
Anthony Hatoum: Good morning everyone and thank you for joining 3B's third quarter 2024 earnings call. I will begin with a review of our operating results for the quarter and Eduardo Pizzuto, our CFO will follow me and will provide an overview of our financial performance. We will then open the floor for Q&A. I am pleased to report another strong quarter for 3B. This quarter we opened 131net new stores bringing our total store count to 2,634 as of September 30th. Same-store sales for the quarter grew by 11.6% year on year while total revenues increased by 29.8% to reach PS.14.8 billion. Third quarter EBITDA reached PS.688 million. That is a 54% year-on-year increase. We prefer to measure cash flows on a cumulative year-to-year basis. Our quarterly numbers are available in our earnings report in the Appendix. You can expect that this number will be volatile on a quarterly basis. For the first nine months, net cash flows provided by operating activities reached approximately PS.2.3 billion or a 22.4 increase year on year. We ended the quarter with a net cash position of approximately PS.1.3 billion and an additional PS.2.9 billion in short-term U.S. bank-denominated positions. In U.S. dollar terms, our total cash position remains unchanged from the same period last year. Our rapid growth continues to be self-funded. Turning to operational performance, our store expansion is progressing strongly. As mentioned, we opened 131 net new stores in third quarter of ‘24. That makes 346 net new stores if we look at the first nine months of this year. Last year for the same nine-month period we opened 243 stores. So, this is a 42% increase versus last year. Regarding guidance’s that we shared on store openings in the range of 380 to 420, we will solidly meet them for 2024. Moving on to revenue and gross margins, total revenue grew by 29.8% year on year for the quarter. This driven by an increase in same store sales of 11.6% and the contributions from new stores open in the last 24 months. Our gross profit margins compared to the same quarter last year remained flat at 15.8%. Efficiencies from scaling up were passed to price to the benefit of our customers. 3B continues to offer the market's best value for money in the products we sell. It's one of the key drivers of our success. I'll now pass the mic to Eduardo.
Eduardo Pizzuto: Thank you, Anthony. Good morning everyone. Our SG&A as a percentage of total revenue decreased by 51 basis points year over year from 13.9 to 13.4. Expenses as a percentage of revenue is an important metric for us. We look at it constantly to ensure a downward trend. This reflects our ongoing efforts to optimize expenses. We have seen a notable increase in our EBITDA of 54% from PS.447 million to PS.688 million or an increase of 73 basis points. This increase is driven by our sales growth and our operational efficiency. I remind you that we do not manage our business with an EBITDA goal in mind. EBITDA for us is a consequence of meeting revenues, product contribution margin and lower cost as a percentage of sales objectives. We continue to generate significant amount of cash from changes in negative working capital. In Q3 ‘24. Our days in favor continue to be consistent with historical trends. As of September 30, 2024, adjusted negative working capital was 10.3% of total revenue, reflecting our operational efficiency and the strength of our business model. I'd like to remind, as Anthony mentioned at the beginning, we continue to be self-funded despite 42% increase in store openings versus last year and opening two distribution centers. I will now turn the microphone back to Anthony for closing remarks.
Anthony Hatoum: Thank you all again once again for joining us today. I'll leave you with the following thoughts. Very strong store openings in line with guidance. Very strong growth in sales and very healthy same-store sales growth. Very healthy improvement in cost as a percentage of sales as planned. Cash generation allows us to continue to fully self-fund ourselves for NR growth. We continue to do the same, just better and faster. And we are very excited for what's coming up next. We'll now start the Q&A session, so please go-ahead operator.
Operator: Thank you. We will now conduct the Q&A session with Anthony Hatoum and Eduardo Pizzuto. [Operator Instructions].
Anthony Hatoum: I just want to extend my gratitude to our investors and analysts for your continued support and confidence in our strategy. And if you have any further questions, please don't hesitate to reach out to us.
Operator: Our first question comes from the line of [Indiscernible]. Please state your name before asking your question and company name. Sorry.
Unidentified Analyst: Hi, it's [Indiscernible] at BAC Bank of America Corp. Hi, Anthony. Hi, Eduardo. Congratulations on the quarter and thank you for taking my questions. There was a sequential gross margin decline and simultaneously kind of a step up in operating leverage that was bigger than trend. And I was curious what was behind each of those numbers? And then what proportion of the store base has a nettle in the trade area? And how has that net value proposition behaved over the last few months? And then lastly, Anthony, you made a couple of references to the pace of growth. You're annualizing nearly 500 units a year and it appears you appear well above guidance. And I was wondering how we should think about the pace of new store openings for 2025. Thank you.
Anthony Hatoum: Bob. Hi, let's start with the question about gross margins changes. Last quarter, you'll recall that our gross margin was 16.7%. And somebody on that call asked me whether that's the trend. And I replied, this is a number that's a consequence of a lot of individual decisions that we make on pricing and you shouldn't see much into it as a trend because this number is going to fluctuate quarter to quarter. And what we're seeing here is exactly that nothing has changed in our strategy. We continue to price product by product to maximize volumes and peso operating profit. So, what you see here is a consequence of what we did over the last two quarters. Today, on your question, you asked several questions, but one of the questions was the Neto and other competitors. And let me say that with regards to Neto today, we have about 1,500 nettles next to our existing stores. And what you're seeing is exactly our current performance continues to be extremely strong. So, we welcome all the competition and we're very confident that our value proposition is stronger than most. And what we're doing is the right thing in terms of offering the best value for money to our customers and therefore attracting more customers, increasing the number of transactions and increasing the amount of items that customers are buying from us over time. Bob, you asked a question about real estate too.
Eduardo Pizzuto: No, you asked about Bob, if not mistaken, you asked about operating leverage. Yes. Is that right? I'll take that one, Bob. I mean, really, we've done nothing different from what we've done in the past. As you know, we continue to look at hours worked at store level and our distribution centers really everywhere. And we look for ways to continue to make our operations more efficient. So that's the consequence of those actions. So, sales expenses were down versus last year. Admin expenses flat versus last year. And as you know, the explanation there is that we continue to make investments in talent, mainly across the board. That also has to do with the additional number of distribution centers, the personnel on our headquarters and regional headquarters. And we also have public company expenses now. But that is what has been driving mostly our operating leverage.
Anthony Hatoum: Last question you asked, Bob, was about the pace of store openings. We can say that we're going to solidly meet guidance. And as we believe that this market can sustain up to 20,000 3B stores over time. It's natural to think that we will be focusing on increasing the pace of store openings over time. But for now, I'll say that we're very comfortable in meeting guidance.
Unidentified Analyst: That makes perfect sense. And then, Anthony, the question on Neto was really more about the reports that a financial difficulty in the affiliates. There's some noise among suppliers that. That maybe they're having difficulty paying suppliers and some suppliers are refusing to ship. And I was just curious if you're seeing that or any evidence of that at the point of sale in those 1,500 overlapping locations.
Anthony Hatoum: It's very hard to tease out a Neto effect from what is a very strong trend in our same store sales and the way a store performs in general. But I think, pragmatically, if you walk into a 3B and then you walk into a Neto, you can see for yourself where the customer will prefer to shop. And I'll leave it at that.
Unidentified Analyst: Understood. Thank you so much. And again, congratulations on the quarter.
Anthony Hatoum: Thank you, Bob. Thank you.
Operator: Our next question comes from the line of Jorge Izquierdo. Please state your company name and ask your question.
Jorge Izquierdo: Hi, can you hear me?
Anthony Hatoum: Yes, Jorge.
Jorge Izquierdo: Perfect, Jorge Izquierdo from BTG Pactual. Two questions. The first one on your cash balance. Even in a quarter with 130 store openings, you're not burning cash. And I know you're focused on growth, but I was wondering what the long-term outlook for dividends might be or if there's any sort of change in the speech on that front. That's my first question.
Anthony Hatoum: Okay, Jorge, I think it's way too early to talk about dividends, but I think anybody who's modeled this business knows that eventually there is significant cash generated. And then the question would be, what's the wise thing to do with this excess cash? And if it's dividend, so be it. But I'll leave it at that for now.
Jorge Izquierdo: Okay, and then my second question is on the spaghetti chart. We haven't seen it in a couple quarters, but I was just wondering if you can maybe give an update on the productivity of the newer stores. I know that they're maybe a bit larger in size, but any sort of color on productivity readings from stores open over the last 24 months would be very helpful.
Anthony Hatoum: Yeah, you're right about the spaghetti chart in that we refresh it once a year and we'll do so in Q4. But all I can leave you with is that all our vintages continue to perform very solidly and the trend that we've seen with newer vintages doing strongly continues. So, nothing new to report on that front. It seems to be business as usual.
Jorge Izquierdo: Okay, that's, that's great to hear. I'll leave it there. Thank you very much, gentlemen. Congrats on the floor.
Anthony Hatoum: Thank you.
Operator: Our next question comes from the line of Joseph [Indiscernible]. Please state your company name and ask your question.
Unidentified Analyst: Hi everyone. Hello, Anthony, Eduardo. [Indiscernible] JPMorgan. Thanks for taking my question. Actually like, I'll put my question in two pieces. So first, like we did see the company accelerated while the market actually decelerated. So, my question to you and maybe try to resonate with the spaghetti chart, but trying to look into the quarterly trends, trying to break down the same store sales between ticket and traffic. Just to try to understand how more Mexicans are seeing higher value proposition into 3B stores. The second question goes into like going back to the gross margin. We understand that that fluctuates on a quarterly basis. Really depends on mix and like commercial stance from both you and the competition. But just wanted to understand like where we should be anchoring like the normalized level when we look at a 12-month, 18-month basis. So, if we could assume that 2023 levels would be the levels going forward as a normalized basis. Last but not least, I mean like look at the expansion as you flag. I mean you're comfortable into the guidance this year thinking on the seasonality like probably it suggests that you could naturally beat the guidance this year. But looking to the quarter what I wanted to understand is that like how can we reconcile like this higher SG&A leverage, right? So, it was a quite important number for that and the store openings throughout the quarter just to understand how relevant those new stores were to revenues or if we could assume that eventually could have an even higher operating leverage if those stores were open like earlier into the quarter. Thank you very much.
Anthony Hatoum: Hey Joe, how are you? Let me start with the first question around what's happening with the tickets? This is what I share with you. What we've seen over time is that the number of tickets, the number of transactions has increased notably. The average ticket size has increased healthily. And this despite having year-over-year prices that are completely flat in our case. And for me, that's a very good indication of very healthy and strong performance. On the matter of gross margins, and again your question of what would be the trend over time, here's the challenge that I pose to everybody. Yes, we can show a higher percentage gross margin, and then it might dropped in another quarter. And the question is, what happened to sales? So, as you know, we are constantly trading off price versus sales versus peso margin gained. And we're always optimizing for this peso margin gains and for volumes. So, believe me, if you see a decrease in gross margin, we've only done it because we believe we're better off on a volume basis and on a sales basis. Otherwise it would not make sense to do it. And I repeat, how we do it is, again, we don't have a gross margin target. We are basically looking at SKU by SKU and optimizing pricing for that SKU to maximize what I just said, which are unit volumes and peso margin. So, modeling, of course requires you to put a stake in the ground and say, what's the margin going to be over time? And you might recall from previous conversations, we've always said in our models, we keep our gross margin flat forever. And so, I'll leave you with that. At some point, one has to pick a number and model it forever. And that's what we've done internally. There was two more questions you had.
Eduardo Pizzuto: You had one more question, if you don't mind repeating that last one. In terms of guidance, in terms of expansion storage.
Unidentified Analyst: That was like, just to try to understand, like, how -- how were the openings spread out throughout the quarter? Just to try to reconcile this, like, better than expected operating leverage versus, like, the contribution of those stores. Because eventually, like, maybe some stores were like, really backloaded. We had the expense, but not the benefit of sales. So eventually the operating leverage would be eventually higher than that. And Anthony, if you could kind of like help us, breaking down the same-store sales between traffic and ticket would be amazing. Thank you very much, guys.
Eduardo Pizzuto: Let's answer real estate for a second. We would love that our real estate teams are producing stores on a very regular basis that are flat. And we'd rather not see any fluctuations in number of store openings month to month. But the reality is that this is a very dynamic market and things happen in some months faster than others. And you see higher numbers of stores in one month and lower in another. So, for me to tell you with certainty what the number is going to be on a quarter to quarter basis is always a tough call. And we'd rather just stick to our numbers on an annual basis. Are you going to see a significant increase in the next quarter? I would say no. You will see a healthy increase, but nothing that is going to say, wow, everything has been bunched in the last quarter of the year. So, I'm not sure if I answered your question, but this is how I look at things. And with that same view, Joe, it would be tough to answer the question on operating leverage for Q4 specifically as you're talking about. But overall, as you've seen on a yearly basis, we continue to strive for operating leverage, particularly on sales expenses. You had one more question about tickets and traffic, Joe.
Unidentified Analyst: Yeah, just if you could like help us breaking down like the contribution of ticket and traffic to same store sales. I know you guys typically don't break that info, but I mean like that's available information.
Anthony Hatoum: Yeah, I know it's valuable, but we don't as you said, we don't go down into that level of details. What I would just repeat what I said before. I think the bulk is coming from a strong increase in transactions then followed by a good increase in ticket size. And I said, this is despite seeing no price increases quarter to quarter. When we look at our average item price Last quarter from ‘23, Q3, ‘23 versus Q4 -- Q3 ‘24. It's flattish.
Unidentified Analyst: Perfect. Thank you.
Anthony Hatoum: Thank you, Joe.
Operator: Our next question comes from the line of Andrew Ruben. Please state your company name and ask your question.
Andrew Ruben: Hi, Andrew Ruben from Morgan Stanley. Thanks for the questions. Like to dig in a bit on the question on the comments around elasticity. So, you mentioned the reinvestments in price and I'm curious, when you make those changes at a product level, do you tend to see the uplift immediately or is it something that takes consumers time to see and you tend to see the benefit of higher sales at the product level over a period of weeks or months. I think that would be helpful to understand. And then second, we've seen industry sales decelerate and in difficult economic times, maybe you see trade down to TNS Trace Bay. But trying to understand the cadence with which that happens over the short term, do you see yourself more leveraged to decelerating industry trends or at what point do you start to see an uplift from trade down into the channel? Any color on those points would be very helpful.
Anthony Hatoum: I'm very glad you asked the question about a lag in terms of once -- when you change a price, when do you see the effect of it? And I'm going to tell you, it's all over the place. Some categories respond immediately and some categories respond literally over three quarters. And we'll see the impact just continuing to develop over a much longer period of time. So sometimes it's a little bit tricky when you're looking at things quarter to quarter, where you see, for example, an impact on gross margin, and then you basically look at your dollar contribution in terms of margins. And you don't immediately see within the quarter an impact. That is mostly what will happen when you do, when you're doing price changes on categories which have that lag I'm talking about. More so highlighted if you're doing it in the third month of the quarter, and then basically it spills over into the next quarter. So, don't be surprised if you see some of that happening. In terms of your second question and what's happening in the market, yes, we've heard that the consumer might be feeling some tightness in terms of their wallet. We haven't seen any of this in 3B. We continue to perform very strongly. And you've seen our same-store the trends versus on some in terms of same-store sales. We seem to be rebuffing the tendency. And so, do you see in that that people are switching over to [Indiscernible]? It's probably happening. We have no way of measuring exactly how much and how fast. But all we can see is the number of transactions going up. And we have to guess that some of that is taking place. Plus, you add to that that our value proposition is continuously improving. So that has another effect. And, there's a ton of effects that explain the continued strengthening and this is probably one of them. But what we found in the past is that once you become a strengthening customer, you're very sticky. And so, when things get better, if that's the case that things have gotten worse, then we're very unlikely to lose that customer.
Andrew Ruben: Great. That's helpful color. Thanks, Anthony.
Anthony Hatoum: Sure thanks, Andrew.
Operator: Our next question comes from the line of Hector. Please state your company name and ask your question.
Anthony Hatoum: Hector, are you there? Operator, if Hector is not connecting, let's leave until the next slot.
Operator: Yes, our next question comes from the line of Daniela Bretthauer. Please state your company name and ask your question.
Daniela Bretthauer: Hi, everyone.
Anthony Hatoum: Daniela, we heard you a little bit and then you cut up.
Daniela Bretthauer: Sorry, can you hear me now?
Anthony Hatoum: Perfect.
Daniela Bretthauer: Yeah. Thank you so much for taking my question. Daniela with HSBC. Question for Eduardo. Can you just help us understand? I saw that your cash position in U.S. dollar denominated was 2964. So almost 7% higher sequentially. But the FX gain was lower like PS.300 million versus PS.210. So, I was wondering if there was any change in the FX instrument or where you're, the level that you are at because I actually calculated that you should have had a bigger gain in Q3. And how should we think about this FX gain for Q4? So that's my first question.
Eduardo Pizzuto: Hi, Daniela. Yeah, thank you. I'll make it more simple. If we look at it in U.S. dollars, so what we have the IPO proceeds after paying off the promissory notes, et cetera. Was the balance was PS.170 million. We have in those short-term deposits around PS.150 million. And the balance is in our daily balance in that U.S. account that we have. So that nothing has changed really. It's all -- it's been increasing with interest, but that's it. We have not transferred any of that cash to the operation in Mexico.
Daniela Bretthauer: Okay, so thanks.
Eduardo Pizzuto: And for Q4. For Q4, just your second question. For Q4, assume the same thing. We continue to be self-funded and we will not be making transfer to the operation.
Daniela Bretthauer: Okay, so the same amount and then use whatever FX we have. Okay, thanks. And then I just want to follow up in. I know this has been asked multiple times today, but maybe just ask it in a different way. Have you seen the need to reinvest more in prices to drive sales less bonus from suppliers or any specific change? Because we are still trying to understand how the margin went from record high to flat and whether the accumulated margin which is 16.3. Maybe that's like the level that we should use in our forecast. So maybe help us guide as to what level should be used in our forecast.
Anthony Hatoum: Okay, again back to the very tricky question of reality versus modeling where in reality we've explained how we price on, I'm going to say on a continuous basis because this is not an exercise, a onetime exercise, but it's something that in the company we are continuously elasticity testing our products. And we're continuously optimizing price levels and continuously making decisions if the leverage we're getting from scale and the efficiencies we've been getting from scale by just becoming bigger together with our suppliers, whether it gets translated into a gross margin number that as we've all seen fluctuates or whether it goes into price. And then as Andrew correctly pointed out gets a reaction in terms of sales, whether it's immediate or with a lag. And that's the reality. And we only do that because we believe that this is the right thing to do and it's driving our value proposition improvements over time. And that in turn is driving same store sales that continue to be very healthy and in terms that scales. So, it's this virtual cycle that makes us extremely competitive in the market. And now we flip to how do we model this, which is very dynamic and would be highly complex to put in an Excel spreadsheet. And the way we've handled it internally is very simply we've made an assumption on what a typical sales curve for a store is. And when a new store opens and you've seen the improvements in store, every vintage is getting stronger and better in terms of where they start and how their sales curve performs steeper. And therefore, breaks even faster. And we've assumed a sales curve for a given gross margin. And so, you cannot unlink one from the other. At least when we look at it, we don't. So, if you put a lower gross margin, then you must change your sales curve and make it a steeper and higher sales curve. One goes in hand with the other. And unfortunately, I'm not going to put a number on the on the table, but all I'm going to say is whatever number you pick in terms of your model of gross margin, just make sure that the sales growth of that you put for each store that opens make sense at that level. And you can look historically historic trends and basically say, this makes sense, and you can assume that these improve over time, and that would be my recommendation in terms of how to look at it.
Daniela Bretthauer: Thank you. That's very helpful and detailed.
Operator: Our next question comes from the line of Hector Mayes. Please state your company name and ask your question. Hector, I think we can't hear you.
Anthony Hatoum: Hector, if you want to send your questions in writing, we'll try to answer them.
Operator: Our next question comes from the line of Luis Martinez. Please state your company name and ask your question.
Anthony Hatoum: Luiz, you appear to be on you're on mute.
Unidentified Analyst: Yeah. It was a mistake. I'm sorry. Yeah. That was a mistake.
Anthony Hatoum: Please go ahead.
Unidentified Analyst: No. I don't have any question. It was a mistake for me.
Anthony Hatoum: Okay. So, no problem. Thank you.
Operator: Our next question comes from the line of Santiago [Indiscernible]. Please state your company name and ask your question.
Unidentified Analyst: Hello. This is Santiago [Indiscernible] with Summit Management. Congratulations on the outstanding growth from store openings and strong same store sales growth. We can see the strong ramp up in in CapEx to sustain the new stores growth. Can you help us understand more about the unit economics around the cost of a new store and any color on the timing about its representation on the financial statements? And going forward, is there any sweet spot in defining the size of CapEx as a percentage of cash flow or any other metric? Thanks.
Eduardo Pizzuto: Santiago, hi. Thank you for your question. First off in unit economics, there's a fairly detailed slide on our perspectives that talks about our target unit economics that it describes what happens in the first three years of a store. And we also talk about the target CapEx, which is PS.3.9 million per store, and also talk about the cash on cash. So, if I would encourage you to look at that that slide, and, that's the target, and that's where we continue to be at today. And that was your first question. Then your second question was about was there if I understood correctly, is there a sweet spot in terms of CapEx as a percentage of sales? Was that correct? That's what I heard. Okay. Yeah. As a percentage of sales for cash flow. We don't really have a -- we don't really look at CapEx as a percentage of sales or by that, by that metric for us really is a consequence. What I can tell you is that we -- and as you've seen our track record, we reinvest everything back into growth. Meaning that, this year as you've seen, our guidance is 380 to 420 new stores. So, we want to open as many stores as possible, so we reinvest everything back into it. So, there's really no guidance today as or a sweet spot as you call it in terms of CapEx as a percentage of sales or as a percentage of cash flows. So that's pretty much our view.
Unidentified Analyst: Thank you very much.
Operator: Our next question comes from the line of Jin [Indiscernible]. Please state your company name and ask your question.
Unidentified Analyst: Yes. Hi. Captains of Capital LLC. Gentlemen, could you please take some time and talk more broadly about your relationship with the suppliers? Just sort of a with a long-term perspective. There's the price aspect the non-price aspect. As you gain scale, you are negotiating with them. Just longer term, how do you think about that relationship? They're not necessarily exclusive with you guys. Right? Are they selling online these days? Just generally how you think about that relationship, from a long-term perspective.
Anthony Hatoum: Hi, Jin. I'm going to start with a very high-level answer to your question. There is absolutely no doubt that as you get bigger and you scale, your relationship with the suppliers of any kind gets better, and you can get better terms on everything that you're buying. And then you need to break it down into two groups. One are the traditional FMCG companies with whom we have an excellent relationship. And our relationships and what we do with them has been improving, continuously over time in terms of what we offer our customers coming out of these traditional FMCG companies, and the value proposition that through their products, we're able to offer to our customers. And then, the second group are our suppliers who supply our private-label products. And these all started as small and medium sized companies. And over the course of the last 15 years have grown at the same pace that we've grown at. And today, they are not so small and not so medium anymore. And with them, the relationship, let's say, is more is deeper. With them, we do significant planning ahead of time. We work very closely with one very clear objective in mind, which is to bring our products with the best value proposition to our customers. And again, scale plays a huge role in being able to achieve these efficiencies for both. So, again this is all planned way ahead of time. We work very closely with all our suppliers. And the objective is super clear. Just be make sure that every year you have the supply, and what you're supplying is the best possible product for the price.
Unidentified Analyst: Got it. Thank you.
Operator: Our next question comes from the line of [Indiscernible]. Please state your company name and ask your question.
Unidentified Analyst: There we go. Thanks for the follow-up. I really appreciate it. [Indiscernible] from BTG Pactual. Just two follow-ups. One, sort of housekeeping on the diluted share count, which you provided, which is great to see. And maybe if you can -- maybe give some color on what what's in that and what's not in that. I'm assuming sort of the non-vested shares are not in there, but any color there would be greatly appreciated. And then the second question sort of more on top line dynamics. In 3Q specifically, there was a lot of rain, right? There was a lot of rain and we've seen a lot of commentary on a big shift towards a traditional channel. But I'm curious as to how the rain impacted demand for you because, technically you’re walking distance, and I'm not sure if the rain was a good thing or a bad thing for. So, any comments there would be helpful. Thank you.
Anthony Hatoum: So, on the, hi [Indiscernible]. On the on the share count, these are what's included this quarter, and we included the options that could potentially be converted. And these have to do with those options that are in both in the money invested. And this is has to do with our accounting team is utilizing IS 33. So, going back to the norm -- just not to get into a lot of details right now, but it's based on IS 33, but it's basically the options that are invested in the money. That was your first question. And then your second question was on the effect on rain during the quarter, and was that good or bad?
Eduardo Pizzuto: Tough question to answer. Rain does have an impact. People have a tendency not to go shopping when it's raining here. But net, no. We haven't seen any significant, impact of that.
Unidentified Analyst: Great. Thank you.
Operator: We will pause for further questions.
Anthony Hatoum: Did we receive Hector Meyer's questions?
Eduardo Pizzuto: Yeah. Hector, we have questions from you. Let me start off. You're asking on gross margin, we'll start off with the second one. Just wanted to understand if something there can also be related to higher prices from suppliers with a weaker peso. Also, to see how your thinking on the pricing strategy of a weak peso creates certain pressure on how gradually would you pass this to the consumers? And if you could roughly share the percentage of cost of goods directly or indirectly in dollars through suppliers or imports, that will be great.
Anthony Hatoum: Yeah. Let me answer this, Hector. This is not the first time we've gone through a peso weakness period. And, you're absolutely right to say that behind the scenes, if you go a couple of layers in terms of looking at manufacturing costs. A lot of items are dollarized. So, you will eventually see the impact of a weaker peso and increasing, peso costs. And then comes the $1 million question of how fast do these increases get passed on to the consumer. And, if I just look at history, what I've seen is that phenomenon takes anywhere between 8 and 18 months to happen. And once it's been passed on, you basically are back to where you were before with, as if it never happened. The trends continue and you catch up to what the trend was. That's been our experience in terms of seeing peso weakness. Second question? No. That's it. That was the only question?
Operator: We will pause for any further questions.
Anthony Hatoum: Operator, do we have any more questions from anybody? Okay. Well, again, thank you to our investors and to the analysts that are covering us. And as always, we're very happy to answer all your questions. Please feel free to reach out to us at any time. And, thank you again very much.
Operator: That concludes today's call. You may now disconnect.